Operator: Good day, ladies and gentlemen, and welcome to the Hecla Mining Company fourth quarter and year ending 2016 conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would like now to turn the call over to Mike Westerlund, Vice President of Investor Relations. You may begin.
Mike Westerlund: Thank you, operator and good morning everyone. Thank you for joining us for Hecla’s fourth quarter and year end 2016 financial and operations results conference call. Our exploration news release that was issued yesterday and the financial results news release that was issued this morning before the market opened, along with today’s presentation are available on our website. On today’s call, we have Phil Baker, President and CEO as well as Luke Russell, Vice President of External Affairs; Lindsay Hall, Senior Vice President and Chief Financial Officer; Larry Radford, Senior Vice President, Operations; and Dean McDonald, Senior Vice President, Exploration. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and constitute forward-looking information under Canadian securities law as shown on Slide 2. Such statements include projections and goals which are likely to involve risks detailed in our Form 10-K, Form 10-Q and in the forward-looking disclaimer included in the earnings and exploration releases and at the beginning of the presentation. These risks could cause results to differ from those projected in the forward-looking statements. In addition, in our filings with the SEC, we are only allowed to disclose mineral deposits that we can economically and legally extract or produce. Investors are cautioned about our use of terms such as measured, indicated and inferred resources, and we urge you to consider the disclosures that we make in our SEC filings. I will pass the call to Phil Baker.
Phillips Baker: Thanks, Mike. 2016 was a record year for Hecla and I want to start by reviewing some of the highlights. So on Slide 3, you can see we had our third consecutive year of record silver production, up 48% over 2015 and strong gold production up 24% over 2015, and we had the highest silver equivalent production of 46 million ounces in our 125-year history. Slide 4 shows that strong production and low cash cost after by-product credits have led to record EBITDA of $265 million and that’s $43 million increase in cash on our balance sheet, given this lower net debt to EBITDA and a much stronger share price performance than average of our peers since the beginning of the year. Looking to 2017, as indicated on Slide 5, and in our news release, we estimate that silver production will be 14 million to 15.5 million ounces, gold production of 230,000 and 250,000 ounces for total silver equivalent production in of excess of 46 million ounces. The growth in equivalent production is due primarily to higher lead and zinc prices. We see production increasing as 2017 progresses with the first quarter being the lows of the year due to mine scheduling [ph]. For silver we estimate a $2.75 cash cost after-by-product credits and an all-in sustaining cost after by-product credits of $11.50. For gold we estimate a cash cost after-by-product credits of $800 per ounce and an all-in sustaining cost after-by-product credits of $1150 per ounce. And with the completion of the #4 Shaft we estimate that capital investment will decline about 20% to $120 million to $125 million in 2017. For exploration, we are increasing the budget by $8 million over the last year as we seek to capitalize on the significant discoveries being made at San Sebastian and work to increase the mine lives at Greens Creek and Casa Berardi. We also estimate spending $5 million advancing the permitting in Rock Creek and Montanore this year. In summary, we see 2017 as a good year with more margin per ounce and less capital. Now when we acquired Rock Creek and Montanore I believe that some point in the United States the regulatory attitude would change towards projects. So that day is here. So I’ve asked Luke Russell, our VP of External Affairs to talk about this project. Now Luke has been with us about four years and he has over 30 years permitting experience in US and International, including difficult projects like Kensington and Alaska. I think he's the best in the business in the US and he is leading the permitting effort in Montanore. And periodically we’re going to ask him to get on the conference call and give you an update. And so Luke, welcome to your first Hecla conference call.
Luke Russell: Thanks for those kind words, Phil, and as you’ve said, the new administration in the U.S. is calling for regulatory relief which is a refreshing change for our two large Montanore projects. The projects are making significant progress towards the permitting finish line and the four services, these are their priority projects. We routinely meet with stakeholders, including those who opposed the project in the past and are encouraged to hear some of them say they now feel the mine inevitable [ph]. The new secretary of the interior nominee Ryan Zinke, as you can see on Slide 7, is a geologist from Montana who grew up just a hundred miles from our project, and he has been to our site and is a strong supporter of the economic development these projects can bring to northwest Montana. He will also oversee the Bureau of Land Management that controls US mineral estates as well as the U.S. Fish and Wildlife Service which is a key agency involved with permitting these projects. With his background and familiarity we could not think of a better nominee for having an understanding of our projects. So what are our plans for this year? The Montanore project has received the final environmental impact statement and record of decisions from the state of Montana and U.S. Forest Service for the evaluation phase. On Slide 8, you can see we are updating the plan of operation and associated monitoring and mitigation plans to advance this phase of the project. This anticipated to be a two to three year period to obtain additional geologic, hydrologic and environmental information that is necessary for future approval for construction and operation. Rock Creek has seen the draft supplemental environmental impact statement from the Forest Service and we expect the final in 2Q of 2017. The final agency record of decisions is anticipated later this year or early in 2018. And similar to Montanore, Rock Creek is a two-phase project with an evaluation phase and then construction and operation. So we anticipate with the new attitude from Washington, these could become mines in the mid-2020 timeframe. I’ll now turn the call over to Lindsay for the financial review.
Lindsay Hall: Thanks Luke. 2016 was a great year both operationally and financially as shown on Slide 10, evidenced by the significant increases in silver and gold production, revenue, EBITDA and the decline in cash cost after by-product credits. The strong year is reflected in $160 million of free cash generated at the mine level showing on Slide 11 which translated into $40 million of cash flow at the corporate level. The stand-out performer was San Sebastian generating $94 million of cash flows from operations at the mine level after only $1.5 million of CapEx. Silver operations continued to deliver strong cash margins through the year, 82% of sales or $14.06 per ounce, while the gold cash margin of 61% of sales or $481 per ounce. There are a couple of things I want to draw your attention to on Slide 12. A big change this year is that we will begin depreciating Lucky Friday’s #4 Shaft starting in the second quarter and depreciation depletion of #4 Shaft and associated capitalized interest is estimated to be about $13.5 million for the three quarters of 2017. So this will have an impact on our earnings per share. In total, I estimate our total DD&A to be about $143 million in 2017. Also, general and administrative expenditures increased $11 million over 2015, principally due to the accruals, the incentive payments resulting from the company's strong performance measured against annual and long term incentive plan target. Our performance against these targets included record silver and silver equivalent production, EBITDA and total shareholder return where we were a second among 16 peers over the past three years, clearly aligning our incentive plans with the interest of our shareholders. Also, we have begun reporting all-in sustaining costs. On Slide 13, you can see the AISC after byproduct credits reconciliation for silver mine. We’re calculating AISC on a produce basis because it most closely represents how we have reported production and cash cost in the past and in our opinion is the most reasonable way for consecrate heavy producer to report. For calculation of AISC contain costs associated with active mine while excluding cost for inactive closed or greenfield projects. For expenses such as exploration or reclamation only the portions that relate to active mines are included in the calculation. We have fully allocated D&A against our silver production. There are a couple positive trends I also want to highlight. D&A is expected to decline, capital is expected to decline and we estimate the silver equivalent production should be as high or higher than last year while the AISC after byproduct credits improving to about $11.50 per silver ounce. As you can see on the left side of Slide 14, our adjusted EBITDA is up 127% over 2016. The net debt to EBITDA has declined 61% over the year to 1.2 times. We have almost $300 million of liquidity including the $100 million line of credit. Our debt outstanding is $500 million due in 2021. With our forecast of growing cash balance, and improving debt metrics, we're very comfortable with our balance sheet. In summary, we had a great 2016 and we're quite excited about the potential for 2017 and beyond. And I'll pass on to Larry to talk about our operations.
Lawrence Radford: Thanks, Lindsay. Let’s start with a look at our improvements in safety. On Slide 16, we have a chart showing the overall safety performance which is improving. In December, Hecla was recognized by the National Mining Association as the first hardrock mining company to complete the CORESafety program which is a commitment to a plant’s injury rates by 50% over five years with zero power [ph]. We are very proud of this achievement and we will try to improve this statistic further. 2016 was also a significant year for Hecla operations with record silver and silver equivalent production. Greens Creek, as can be seen on Slide 17, had another strong year producing over 9 million ounces of silver, a record year under Hecla ownership. Looking forward to 2017, we estimate silver grades to be more in line with the resource grade, about 11 ounce per ton, and the silver production should be between 7.4 and 10 ounces. We have a number of innovations at Greens Creek that are being rolled out in 2017 which we're very excited about, including the Tele-Remote Mucking and the image on Slide 18 is of the control station located on surface, that is operational running now on LHD underground remotely. These initiatives should help increase productivity and ultimately production and lowering of cost. We also expect to have our ventilation on demand operational in 2017, making our fans more energy efficient. In Lucky Friday, we saw a new level of consistency in operations with production rising to 3.60 million ounces, as you can see on Slide 19, up 19% over the prior year period. This increase is due to higher grades, mill throughput and recovery. Looking forward to 2017, on Slide 20, we expect the grade to continue to increase with depth as we get -- as we move into the high grade zone of the 30 Vein which leg moves [ph] and gets wider with depth. The 2016 all-in sustaining cost after by-product credits for Lucky Friday includes the capital invested in #4 Shaft, a project that is now complete. All-in sustaining cost after by-product credits for 2017 is forecast to decline to $12.50 an ounce. As an order of magnitude, we estimate the grade will increase about a half an ounce per year for the next several years. The completed #4 Shaft has been handed over to the mine and is in operation now. As we continue to develop the 6500 levels shaft will be used [indiscernible] from this development. We are testing several battery-powered LHDs as seen on Slide 21 and we are encouraged about the potential this technology has to transform the ventilation requirements across the mine. Finally, at Lucky Friday the union voted to reject the company's last best and final offer on February 19. We will continue to assess the situation interruptions. At Casa Berardi, the East Mine Crown Pillar pit was brought into production. On Slide 22, you can see that Casa Berardi produced 146,000 ounces of gold, including 137,000 ounces from 850,000 tons of underground mine at a grade of 0.18 ounce per ton, and 8500 ounces of gold from the surface pit from 147,000 tons at 0.07 ounce per ton. We expect the gold production from the open pit to increase this year as it operates for a full year and the underground mine to produce a little less gold than 2016 due to mine scheduling. $66 million in sustaining capital for 2016 at Casa included about $10 million in longer term capital projects such as a lift at a tailings facility which were not originally planned for 2016 but were moved into last year because of the strong cash flow this company was generating. It also includes 15 for the pit and 985 development which we expect will generate additional cash flow for the future. The overall production is expected to be between 150,000 and 165,000 ounces for 2017. With the new caps of permitted tonnage cap was lifted, record mill tonnage was record and the underground exceeded ore tonnage targets in 2016. With minimal changes, we have operated the plant on a peak basis above 3600 metric tons per day. Moving on to San Sebastian on Slide 24, you can see San Sebastian produced 4.3 million ounces of silver and 34,000 ounces of gold in 2016 and negative cash cost after-by-product credits. We expect it will continue to be a high grade high value operation in 2017. Our engineers are now working on our underground mine plants and you can see on Slide 25, how we’re looking to mine the high grade parts in 2018. We're selecting an underground contractor, work has begun on the second portal which you can also see in the slide, and we expect to be mining the underground by the end of the year. I’ll now hand it over to Dean.
Dean McDonald: Thanks Larry. Yesterday we announced year-end contained proven and probable reserves of over 172 million silver ounces, which is a slight decrease from year end 2015 but remains one of the largest reserves in the company’s history. Measured and indicated silver resources gained 6% to 172 million ounces and inferred silver resources increased 28% to 463 million ounces. Silver resources in all categories are the largest in our history. Gold reserves essentially stayed constant at 2 million ounces but measured and indicated gold resources grew 4% to 4.8 million ounces and inferred gold resources were up 6% to 1.8 million ounces, including a 23% increase at Casa Berardi. What makes these achievements even more significant was it happened during a period of sharply declining exploration budget. As you can see from Slide 27, Hecla reserve price assumptions of $14 per silver ounce and $1200 per gold ounce are some of the lowest commodity prices used in the industry. In contrast, our silver peers used an average of $16.90 per ounce at year end 2015 for their reserve calculation, and generally announced silver reserve reduction for small gain. Why such conservative prices? Because of our financial discipline, once our mines generate free cash flow and returns to our shareholders. On Slide 28, you can see we have consistently replaced or grown silver reserves over the past ten years as silver production has steadily increased during that same time period. In 2007 we had reserves of 50 million silver ounces. Today our silver reserves have increased to over 172 million ounces, net of 127 million ounces mined over that same time. This means we have added a total of 299 million silver ounces over the past ten years and only 20% of this is from acquisitions. San Sebastian property provides many opportunities to find new high grade resources to extend mine life. We have clearly defined mineralized structural trends as shown on Slide 29 where you can see the current Middle, North and Francine vein pits in the yellow outline. The surface projection of the new West Middle vein reserve and the green ellipses we're drilling is defining new reserves and resources. Let’s highlight some of the recent drilling success. The longitudinal section of the Middle vein in Slide 30 shows the 8000 feet of continuous mineralization. Particularly exciting is the new high grade precious metals reserves that have been found at West Middle vein for over 2500 feet in strike length. The horizontal control of dominantly oxide mineralization is open beyond this reserve to the west and east and recent high grade intersections are shown in the slide as we continue with step-out exploration drilling. In addition to significant gold and silver, the mineralization in the deeper western portion of the Middle vein contains substantial quantities of base metals, zinc, lead and copper that are up to 8% and appears to be similar to the Hugh Zone. Larry was describing the recently initiated underground mine development, Slide 31 shows the location of the proposed stope and the location of the new high grade discovery directly to the west. You can see that little additional development could be required to access this new area and incorporate into a future mine plan. The diagram also shows the current Middle vein resource to the east that requires additional drilling to upgrade and the new discovery of high grade to the east. Deeper step-out drilling about 0.74 miles east, of the Each Francine pit has intercepted the zone of high grade mineralized vein as shown in Slide 32, that is primarily offsite. This potential resource is currently located between 350 to 1000 feet from surface, can be traced for over 400 feet along strikes and is open to the east and at depth where drilling continues. Because of recent successes and great exploration potential, we plan to spend at least $4 million at San Sebastian in 2017 as we aggressively evaluate the potential of the property with four drills. A list of drilling extensions for San Sebastian and our other projects are provided in the appendix of the reserve and exploration release, many of which are high grade and I encourage you to look at them because they give you an idea of where we are headed for future resources at San Sebastian and our other mines. At Casa Berardi we have twelve drills operating on the mine, six drills underground and four on surface, are in the area shown in the ones 2D [ph] section on Slide 33. We have had considerable drilling success, again along the main trends and we expect this to continue in 2017, potentially adding reserves and resources and extending the mine life. The red arrows on the longitudinal projected extensions of many mineralized zones, down plunged [ph] throughout the mine indicate the huge potential at Casa Berardi. What is particularly exciting is the surface pit potential on the mine property. One area we've not talked about in any detail in the past is the 160 zone and its potential for open pit mineralization. As shown in Slide 34, the 160 zone is to the northeast of the Current East Mine Crown pillar. We are drilling there now and have intercepted the broad zones of mineralization. Hecla recently acquired Tahoe's 50% interest in the Lakeshore joint venture that claims the Casa Berardi mine and now the property is a 100% Hecla owned. A proposed 30,000 foot drill program as shown on Slide 35 started on January 15 and we will evaluate extension to the Casa Berardi fault west of the current mine infrastructure. Elsewhere in the company drilling a Greens Creek continues at the Northwest, West, East Ore and Gallagher zones to define new reserves and add new resources along some existing trends. With that, I will pass the call back to Phil.
Phillips Baker: Thanks, Dean. And before we begin the Q&A, I just want to touch on our strategy, so take a look at Slide 37, which is probably a slide we’d seen before. And I'm happy to say that as a result of executing on this strategy we're able to accomplish the things that generate per share value. So while reserves were flattish this year, resources grew to the most in our history. Production was up, silver 48%, gold 24%. Operating cash flow grew $120 million and free cash flow 45. San Sebastian had almost infinite returns and lots of other projects had double and triple digit returns. And finally we captured that at the higher silver price. So now if you look at Slide 38, as to our expectations for 2017, we see all these outcomes again. With increased exploration we see growth in reserves and resources. Our silver equivalent production is up and with margin improvement we expect more cash flow. We see more high return projects in our mills [ph], more productivity underground and we're going to capture the higher zinc and lead prices, which are both up almost 50%. We think all of this is going to result in better share performance. And with that, operator, I’d like to open the line for questions.
Operator: [Operator Instructions] And our first question comes from Craig Johnston from Scotia Bank.
Craig Johnston : Yeah, thanks for taking my call. I just have a bunch of kind of host keeping questions. Just one, you guys mentioned that G&A was expected to decline in 2017. And I recognize that the accrual in Q4 is why G&A spiked there because of your good performance. Just wondering if you could give me a sense of what your expectations are for G&A in 2017?
Phillips Baker: It’s about $35 million, Craig.
Craig Johnston : Similar housekeeping item, on the guidance for cost of sales, bit of a silly question but does that cost of sales include the $143 million in estimated depreciation?
Phillips Baker: Let me just confirm, or if you know right off the top of your head -- no, it does not. So if you go to page 22 of the press release, you can see the DD&A -- no, I am wrong -- yes, it does include.
Craig Johnston : It does. Okay, that's what I thought. And I was hoping that was the case but okay, great. And then third question, just on the new all-in sustaining cost disclosure, just so myself or maybe every else can wrap their head around it accordingly. If you were to use payable rather than production, would all of the i.e., so this payable your ounces gets reduced but would that largely be offset by the reduction in treatment costs? I guess what I'm trying to understand is are all of the costs factored into that metric or is there still some say loss of revenue as when you convert from production to payable?
Phillips Baker: And I'll let Lindsey specifically answer the question. But yeah, we take into account the -- when we do the content, we take into account treatment charges as a cost of producing the metals. So -- we ran things both ways and my recollection was, it wasn't a huge difference.
Lindsay Hall: Yeah, you're right, from contained payable, get up to the pick them or the treatment costs, because to some extent while, as you know, payable will be different than content, the smelters take it their piece of the action which is implied cost in this calculation. So you take it, you’ll have to reduce these costs, reduce the divisor and you kind of come up with generally the same number, because we're all -- we're talking about produce as opposed to like sales payable on a produce basis, your thought process is right.
Craig Johnston : So in summary in reconciliation tables those treatment costs factor in your arguably loss of revenue when the smelters take their portion.
Lindsay Hall: Correct. That's right.
Phillips Baker: And let me just make a comment, when we think about this, we did put a lot of consideration as to what was the best way to report all-in sustaining costs and we've been reporting cash cost per ounce for 20 plus years and we've been reporting it consistently. And we thought it was better to have the all-in sustaining costs be consistent with how we've been reporting our cash costs. In addition to that, when we think about it, the ounces that smelter retains, that changes every year as the contract changes and then finally it really gives you I think a better picture of what the leverage that we have to metals prices by showing all the metals that are contained in what we produce. So for those reasons we're reporting it the way we’re reporting it.
Craig Johnston : Thanks, so I can certainly appreciate that. Couple more for me; one, any chance we could get a bit more color with respect to expectations around byproduct production broken out between lead and zinc for 2017?
Phillips Baker: Yes, there is a footnote that has --
Craig Johnston : How did I miss that?
Phillips Baker: So, maybe it’s in the K, the breakdown of the -- how much lead and how much zinc we’re producing.
Dean McDonald: In ’17, not in ’17, we’ll give you the byproduct revenues but not 2017 though.
Phillips Baker: No, we don’t have that in any of the disclosures. But we do give you what the revenues are --
Dean McDonald: And the pricing --
Craig Johnston : No, for sure, we can calculate that, that’s fine. And then lastly on Lucky Friday, the reserve update, it noted there was a comment saying that the reserves took into account higher production costs at Lucky Friday. Just want to get your guys' sense of long term, now that the shaft is up and running, maybe it's a little bit too early but now that the shaft is up and running where you see a) mining costs and then if I'm lucky as well, where you guys see milling costs and then G&A, on a per ton level?
Phillips Baker: So Larry, do you have that information handy. I think generally speaking the thing that strikes us probably more than anything which is the grade increases that we as we go in deeper, and that’s grade increase will be greater than the cost increase, as you get through --
Lawrence Radford: So we're projecting fairly flat cost per ton over the next five year.
Craig Johnston : So that’s fairly flat relative to 2016?
Lawrence Radford: Yes, it will come up a little bit, anticipating a favorable increase over time.
Craig Johnston : But no, yeah no meaningful increases in costs over that period then?
Lawrence Radford: Not really, what we are projecting right now is always -- it doesn't include any change in mining method and we're studying changes that would make the mine more efficient. So we'll put out a new projection that if we're going to implement that.
Operator: Thank you. And our next question comes from Mark Mihaljevic from RBC.
Mark Mihaljevic : So again I believe I caught this correctly that there were some -- that the union had rejected your offer at Lucky Friday. Can you add just a little more color around that?
Phillips Baker: Well just the normal sort of process that you go through in the United States where you engage in negotiations with the union. We have put together a proposal that changes primarily work rules. There's not a huge difference in the aggregate for compensation but it gives the ability to make a determination really of where people are working and who they are working with, and when they work, so it gives us the ability to schedule things differently, if we find the need to do that. And as we develop the mines, we just believe we need to have flexibility, so that's primarily what -- some of the major changes in the arrangement and there was a rejection of that, and you see that happen in these types of negotiations and we're evaluating what we do next. And we'll keep you posted as it gets resolved. There ain’t much more than I can say about it.
Mark Mihaljevic : And then moving on to San Sebastian, it's a little early for the -- on the interim side of things but just wondering what your initial thoughts are there in terms of the operational parameters that we could see?
Phillips Baker: Yes, so we are moving underground, we would expect to be operational close to the end of the year, and Larry, don’t you give what we are at this point. This is a basically -- we explore discover put together a mine plan and mine it sort of all back to back, so there's not a lot of information that we have but -- what we don't. Yes, is there something specific you're looking for?
Mark Mihaljevic : Well, again what type of tons per day you can get out of it, the type of grade relative to the open pit that you've been doing and any of the unit cost.
Phillips Baker: Well in terms of the tons, we’re going to do a similar sort of tons because it’s really controlled by the mall, about the 400 tons of those. As far as the grey that’s work in price, this is what I would say. Larry, you can certainly good some -- indication that --
Mark Mihaljevic : Yeah, we’re expecting the grade will be a little under three grams per plan goal and over 500 grams per tons silver.
Lawrence Radford: And then moving on to I guess Greens Creek. Obviously it's been spectacular asset for the past few years --
Phillips Baker: That’s about twenty years, Mark.
Mark Mihaljevic : Now that they have pulled down your assumption down to the resource grade level into 2017. Obviously it significantly outperformed the expectation of last year and really again it's been about 15% over the reserve levels the past four years. So just wondering how much -- or how much conservatism do you think you've built into that, knowing that again obviously you only know what the reserves tell you?
Phillips Baker: Yeah, that's exactly right, Mark, there. We don't believe we have any conservatism in the number. We hope we do, but we only know what’s in the model and for us to speculate that it's going to be high grade than that is a risky proposition. So we’ve given you our best estimate of what we think it could be. Larry, you want to add anything?
Lawrence Radford: It’s a complex ore body, it’s been full and it’s tough to predict, always been. And sometimes when they get into specific mining area, if we find an anticipated ore but there is no -- ahead of time that --
Phillips Baker: Yes, because about 30% of what we mine this past year is outside the resource envelope. So we didn’t have any knowledge of what that was going to be.
Dean McDonald: Mark, I’d say that where our production grades have been higher than the reserve really is in those places, that Phil and Larry have mentioned. We do find that some of these small pulls side of this resource are some very high grade material and so that can skew the grade higher. It's very hard to predict, and you can't always assume that it's going to be there. So the reserve models as we have them have been fairly good predictors. But they have under estimated grades in the past few years. We don't assume that that's going to happen this coming year.
Mark Mihaljevic : And then one last one for me. Obviously with, as middle phases have come up. You guys should be pretty well positioned for the solid free cash flow and just wondering what your -- beyond what you have in your portfolio right now what your capital allocation decision would look like over the next couple years?
Phillips Baker: Well, look the first thing we look at are the things within our portfolio that generate these high returns. We've got lots of productivity improvements we’re looking at. You’re studying to see some of them at the mine. We've made lots of improvements in the malls, where I am thinking specifically the Greens Creek over the past couple of years but we've done a bunch of things, potential improvements that we’d see, that we could implement this, or that would be the first place that you'd see us put the capital. How do we generate and sort of double triple digit code for terms, how do we improve productivity of the work force in the mine? Then after that it's -- are there other things to acquire, do we use some of the cash to repay debt. Now we had a shortage of how to use the capital.
Lindsay Hall: And the other thing is to try to advance what could be much more as fast as we possibly can. We think that provides more value in the aggregate for us than in other major thing that we can move those -- those projects combined, the resource is bigger than some of the reserves of Hecla and we think this is a unique time with having the supply inferior with such intimate knowledge of the projects.
Operator: Thank you and our next question comes from Anthony Sorrentino from Sorrentino Metals.
Anthony Sorrentino : With regard to exploration spending, your estimate in your outlook for 2017 is 20% to 25% million, would you provide a breakdown of that by property?
Phillips Baker: We can do that, do you have that --
Lindsay Hall: It’d do, Anthony; we're looking at with Casa Berardi in excess of 5 million. the same for Greens Creek, I mentioned at San Sebastian it will be over 4 million and so that's where the bulk of the exploration expenditures are going to be. And we have a project in northern B.C. we have some Quebec exploration and some exploration as well in the Silver Valley but there's three areas Cassatt, Greens Creek, and Mexico, on average you're going to be about five million.
Anthony Sorrentino : OK and also would you do the same for your capital spending expectation of $120 million to $125 million by project.
Lindsay Hall: In disclosure, Anthony, I think when you go through the all-sustaining cost for ’17, you can see it by mine site. So you can see for that, on page 22 of our press release -- 2017 we’ve got the capital for Greens Peak at 45 million.
Anthony Sorrentino : Okay, fine, I will take a quicker look at that.
Operator: Thank you. Our next question comes from Eliot Glazer with WMC Smith and Company.
Eliot Glazer : Gentlemen, before this morning’s release and disclosures, I like presumably everyone else was hoping for a new mine at Rock Creek and Montanore. Maybe 2022 or 2223, are you talking about 2020 possibly? Could you run a very --
Phillips Baker: The mid 2020, so the sort of date you're talking about would be at the front end of the range, dates that we think.
Eliot Glazer : If we're talking about a maximum production coming sometime in 2022 to 2023?
Phillips Baker: In the middle so 2025 plus minus.
Eliot Glazer : 25, 24.
Eliot Glazer : Could you run through some of the timeframe is between now and then when various events might take place in terms of exploration drillings, visibility study? Can you give us any kind of guidelines as to years when these various steps might be achieved?
Phillips Baker: Let me just first start with the unknown is when they will allow us to Permian Team. Once that occurs, then in-chip component of the evaluation phase is a two to three year period, the construction phase is two or three period. And there's probably another period of time for the permit to get from the evaluation stage to the construction stage. The real key is when we start. We are very excited with the new administration creating an environment that will include the opportunity to start this project. Having said that it will Hugo [ph] electric price range for these projects to go forward and they have been in this process perceptual on time and they have sort of cleared every hurdle that you need to require. So we’re very confident they were going to happen regardless, so hence why we bought the assets but this, we think just, allows us to see the opportunities for them to accelerated.
Eliot Glazer : Have you or any representatives had any contacted the new secretary of the interior Ryan Zinke who is favourly [ph] exposed, he was representative from Montana since 2015.
Phillips Baker: So obviously since he has been nominated, the answer is no, we’ve had no any contact with him. But when he was a congressman we did, we had developed a very good relationship with him. He has been very supportive of these two properties, both as the state senator as well as, as a U.S. congressman. He is a geologist, frankly it’s been one of the more favorable meetings we’ve had, this guy knows what it’s going on. So it's really exciting to have him as the secretary of the interior.
Eliot Glazer : You are hoping for confirmation of decision next week.
Phillips Baker: Yes, and it does seem like there is a whole lot of controversy with respect to congressman Zinke.
Operator: Thank you and our next question comes from Jim Smith, a private investor.
Unidentified Analyst: Questions regarding San Sebastian, so couple of questions. First --
Phillips Baker: Can you speak up just a little bit, it’s a little hard to hear you?
Unidentified Analyst: Is that better?
Phillips Baker: Yes, that’s much better.
Unidentified Analyst: How far is San Sebastian from gold and minerals Sardinia mine and secondly given the success you've reported back in November 8 as well as today at San Sebastian, and you're saying, San Sebastian has infinite returns, it's operational close to the end of the year. I am having a hard time understanding why the lease hasn't been extended?
Phillips Baker: Well. So we have the ability to operate that mill which is 100 kilometers away through 2018. We have some options that we can exercise. So we have control over the mill over the period of time that we have resource that we could conceivable just you know. And to the extent we’re going to be long enough we can talk to them. Ultimately we would love to have a situation where we could build a mill at site avoid 100 kilometers.
Operator: Our next question comes from John Bridges from J.P. Morgan.
John Bridges : I thought I heard you are projecting grades to rise at Lucky Friday about half an ounce for some years. Could you tell us a little bit on that and maybe answering one of the other guys’ questions could you give a point as to what might happen to the lead and zinc grades at the same -- for the same period?
Phillips Baker: So what's happening is as we go deeper two things are occurring. One is we’re mining the lower grade material because we have this high grade component that we are just touching. So as we mine for the flanks around that high grade component, it causes what's remaining to be higher grade. And then so in terms of the reserve, that causes the reserve grade to increase, so then as we mine deeper, we are roughly a 50 or 60 feet of this high grade mineralization, over the course of the next seven years, eight years we get to about 800, 900 feet of the high grade mineralization which is out of a total strike of 2300 feet that we’re mining. So just as a percentage the grade goes -- the material that we are mining grade goes up.
Dean McDonald: As far as lead grades, it will be reasonably flat over the next five years but silver grades will get up around 16 ounce per ton in four years. That’s all in those, I think that's pretty consistent with our technical report. So we’re going to get closer and closer to that reserve grade.
John Bridges : You say that base metal grades remain the same but I seem to remember that picture you had where your LHD couldn’t actually look for stuff --
Phillips Baker: I know what's in the report and the model, that’s the best answer we have but intuitively I think grades for the base metals are going to go up as well.
Lawrence Radford: And when I'm talking about averages for the entire mine, the high grade section of 30 Vein will be very high percentage lead and it does go up a little bit over time. So it’s not dramatic.
John Bridges : And then you've made mention of the new mining ideas, I saw couple of these wrote how this is working. How far along are you with that sort of concept?
Phillips Baker: So we have a feasibility study that Atlas Copco has completed and we’re evaluating that -- we've got guys that are up to Sweden I think in two or three weeks, so that's moving along. It's something we're going to do, we’re going to --in one way or another we're going to try to figure out a better way of mining the Lucky Friday and if we can do a mechanical mining some sort of rock cutting, that's better than drill one with -- as you get deeper in this mine. So we're going to figure out a program that will do, likely going to be arrangements that we have with Atlas Copco. That's why we're on that but we'll see where we end up in our discussions with them over the course of the next couple of months.
Lawrence Radford: I’ve worked 18 years there, I’ve been down there in Nevada and seen the roadheader. And it is working well and for the application they have. What we're contemplating isn't really a roadheader, it’s continuous miner. Although it is a cutting machine that it continues. So it'll have integral built-in and all that and really won’t stop once it’s started. We are keeping -- we have a target team put together. We're getting very close tabs on a machine that was recently commissioned in South Africa at an Anglo American mine and we’re watching what they are doing. But yeah we're going ahead with the project.
John Bridges : And remind us, the reason you got for the spoke machine rather than something off the shelf.
Lawrence Radford: Well, you have to remember first of all, this is pretty narrow stuff and there really isn't anything off the shelf, that would go down this small, a bit more than that like I said, what we’re contemplating isn't just the roadheader or yet, you go in and you say cut up until the point where the cave is no longer under ground support and you have to back machine out and bolt the heading and it's a discontinuous process. The reason [indiscernible] over 150 degrees and smart division and so forth but just a specific application. We want something that the 30 Vein is very long and we want to start in one ending all the way to the end of it.
John Bridges : Just finally I hear that the market has become very competitive, as in concentrate. So is that helping your numbers or is that going to help gotten your numbers with upcoming contracts, is that factored in your numbers?
Phillips Baker: Concentrate is going to help our numbers. We've got guys that are going to be at the conference starting tomorrow. So we'll move more over the course of the next week or two. Certainly at spot the numbers are significantly better, on the benchmark terms, they will be somewhat better.
John Bridges : How much of your contracts will be repriced this year? Do you have or staggered --
Phillips Baker: Every year there is a re-adjustment of the pricing of the contracts on the benchmark terms. So we will see, some benefits but not as much as you see in the spot right now.
Operator: And our next question comes from David Deterding from Wells Fargo.
David Deterding : Just most of my questions have been answered but just one quick one. In terms of your debt, it looks like it's got a little longer maturity but it's in a call period here and steps down again in May it looks like. Any thoughts on I mean how your market is extremely attractive right now? Any thoughts on potential refi there.
Phillips Baker: Well it's certainly something that we're looking at closely and keeping tabs of but 105 today it's probably not something that we should see it making sense, maybe 103 -- one of three that. But is it good enough, we’ll have to wait to see where we are, just 103. Lindsay?
Lawrence Radford: I think David is that, as you see, some of these numbers -- for generating again in ’17 free cash flow. So as that cash balance starts to build right on, we have lots of opportunities to reinvest it in the operations, but I can guarantee, we're not going to leave the balance sheet but we've got opportunities but as our cash balance grows we're always considering how best to use it, not include looking at the loans outstanding. But balance sheet is in great shape and quite comfortable where we're at. End of Q&A
Operator: I am showing no further questions. I'd like now to turn the call back to Phil Baker for any further remarks.
Phillips Baker: I just want to thank everyone for being on the call and please if you have any further questions, give Mike or me a call. We’re very excited about what we accomplished in 2016 and when we look at 2017 we see it being much better standing with all sorts of things that will generate shareholder values. Love talking more about it, if you have a question. Thank you very much.
Operator: Ladies and gentlemen thank you for participating in today's conference. This concludes today’s program. You may all disconnect. Everyone have a great day.